Operator: Welcome to the Anheuser-Busch InBev's Third Quarter 2018 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Felipe Dutra, Chief Financial and Technology Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors tab, and then the Reports and Filings page. Today's webcast will be available for on-demand playback later today. [Operator Instructions]. Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ possibly materially from the anticipated results and financial condition indicated in the forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see risk factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on March 19, 2018. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Brito: Well, thank you, Christie. Good morning, good afternoon, everyone, and welcome to our third quarter and 9 months 2018 earnings call. Today, I'd like to tell you about the results and highlights of our third quarter 2018 performance. Next, I'll spend some minutes covering our U.S. strategy, and it has been a -- has seen a refresh earlier this year, and we are excited about the initial results. I'll then hand over to Felipe to discuss our financials before opening up for Q&A. So let's start with the highlights. Our revenues grew 4.5%, with beer volume growth of 0.5% despite macroeconomic headwinds across some emerging markets, such as Brazil, Argentina and South Africa. We continue to leverage intellectual synergies gained from our combination with SAB, as we employ the category expansion framework in market maturity models across our footprint. Premiumization initiatives were led by our global brand portfolio, which continues to achieve double-digit revenue growth upside of their brands' core markets. We also continue to expand our portfolio of affordable options in low- and middle-maturity markets. This quarter, a fine example is the launch of a cassava-based beer called Nossa in the Northeast region of Brazil, which was created by leveraging the best practice from some of our other markets. With respect to our Better World agenda, in August, we launched our 100-plus accelerator to help achieve our 2025 Sustainability Goals. This will be an annual program designed to tackle specific challenges related to sustainability. Top line growth contributed to EBITDA growth acceleration to 7.5%, and we continue to expand our margins despite an increase in year-over-year commodity prices. Let me now tell you more about the results of the quarter. Our revenue in the third quarter grew by 4.5%, with revenue per hectoliter growth of 4.2% and of 4.4% on a constant geographic basis. This growth was led by China, Mexico and rest of Europe. Our global brand portfolio of Budweiser, Stella Artois and Corona continue to grow faster than our total portfolio, with revenue growth of 7.7% and 10.6% outside of the brands' core markets. I'll share more details on their performance in just a few minutes. Our volume grew by 0.2%, with own beer volumes up 0.5%, partially offset by declines in our non-beer business of 2.4%, driven primarily by Brazil due to a weak industry. Beer volume growth was supported by many of our aftermarkets as well as Mexico and Western Europe, partially offset by Brazil, Argentina and South Africa. Our global EBITDA increased by 7.5%, with margin expansion of 116 bps to 40.3%. This was driven by healthy top line growth, cost efficiencies and synergy capture, partially offset by the increase in year-over-year commodity prices. Our normalized EPS decreased from $1.31 in the third quarter of 2017 to $0.82 this quarter. Excluding the impact of mark-to-market losses linked to the hedging of our share-based payment programs and the impact of hyperinflation in Argentina, our underlying EPS was $1.16 this quarter compared to $1.19 in the third quarter of last year. For more details on the impacts of hyperinflation accounting in Argentina, please see or refer to Page 13 of this morning's press release. Finally, the Board has approved an interim dividend of EUR 0.80 per share for the fiscal year 2018. Felipe will discuss this in more detail later in this call. In the U.S., our commercial strategy continues to gain momentum, which I'll expand upon shortly. Our estimated market share declined by 50 bps in the third quarter and by 45 bps year-to-date, which represents an improvement in our market share loss trend of 30 bps versus last year. Our Above Premium portfolio performed well once again, with Michelob Ultra and our regional craft portfolio both contributing to grow by double digits, with the 14th consecutive quarter that the Michelob Ultra family as the top share gainer in the U.S. In addition, our Above Premium innovations outperformed the market, with Bud Light Orange, Michelob Ultra Pure Gold and the Budweiser Reserve series among the top share gainers in the U.S. this year. The Premium and Premium Light segments remain under pressure as consumer's trade up to higher-priced tiers. However, Budweiser and Bud Light are performing better within their segments than prior year trends. Mexico delivered another solid quarter with high single-digit revenue growth. The category expansion framework has enabled us to sharpen the positioning of our brands, especially in the core segment, through increased differentiation of our classic lager and easy-drinking portfolio. Revenue growth also benefited from continued momentum in our premium portfolio, led by Michelob Ultra and Stella Artois, which combined grew by double digits. In Colombia, we're focused on growing the beer category through premiumization initiatives, coupled with elevating and differentiating the core portfolio. Our global brand portfolio continues to lead the premiumization effort, with volumes almost doubling so far this year, led by an especially strong performance from Budweiser. Our local brands continue to perform well, especially Aguila, which grew volumes by more than 50%, following a successful FIFA World Cup activation that continued throughout the summer. The beer industry in Brazil declined by approximately 2.5%, as the consumer environment remains challenging. We slightly underperformed the industry with beer volumes down by 3.1% following our annual price adjustment during the quarter. Following a price increase, a temporary decline in market share is typical as the market takes time to adjust. Premiumization remains a growing trend, with global brands growing 40% led by Corona, which grew 75% this quarter. We also continue to apply the learnings from the category expansion framework to drive our affordability initiatives in the less mature regions of Brazil. We launched a new brand called Nossa in the state of Pernambuco in the Northeast, brewed with cassava, produced by local farmers, which supports the development of the local economy and offers an affordable price point to consumers, all while delivering a healthy margin. South Africa had a challenging quarter, as consumer disposable income remains under pressure and we faced out-of-stock issues related to supply constraints. Our revenue declined by mid-single digits, with both volume and revenue per hectoliter down by low single digits. On a positive note, we continued to gain market share in the Premium and Super Premium segment in the third quarter, leading to an estimated segment market share of 24% in August, up from low single digits less than 2 years ago. Our business in China continued its strong growth momentum into the third quarter. Budweiser performed very well, with volume growth of mid-single digits, as it continues to increase its rate of sales in more regions of the country. Our Super Premium portfolio continues to grow double digits off a meaningful base led by Corona. For further details on each region's individual performance, we encourage you to refer to the earnings press release we published earlier today. Our global brands had another strong quarter, with total revenue growth of 7.7% and 10.6% outside of their home markets. Budweiser delivered 9.3% revenue growth outside of the U.S. and sustained momentum from its global sponsorship of the FIFA World Cup. Additionally, strong growth in new markets such as Colombia, Nigeria and South Africa contributed meaningfully to this performance. We, once again, successfully activated Tomorrowland, the world's largest music Festival, which included the bespoke Budweiser stage this year. Stella Artois grew revenues by 5.7%, driven by both established and expansion markets. We successfully launched a new brand campaign, Joie de Bière, across 15 markets, inspiring people to bring enjoyment to every day. Corona revenues were up by more than 10% total and by 18% outside of Mexico. Our Corona SunSets franchise continues to grow, and its self-funding model has changed the way we operate our experiential events around the world. Additionally, Corona Ligera, which launched earlier this year in Australia, has become the #1 premium international mid-strength beer in the country, further supporting our goal to have 20% of our beer volume in no- and low-alcohol beers, or NABLAB as we call it, by 2025 as part of our Better World agenda. Earlier this year, we announced our ambitious 2025 Sustainability Goals as part of our dream to bring people together for a better world. To help us identify new partners in this effort, we created the 100+ Accelerator. The program launched in August with 10 challenges focused on farmer productivity, product upcycle, responsible sourcing, water stewardship, green logistics and more. We received more than 600 submissions from around the globe and selected 21 startups to pitch their solutions to our company leaders as well as an external audience for potential partnership and funding. Moreover, we see opportunity to invest in some of these start-ups through ZX Ventures, and we look forward to making $100+ Accelerator an annual program. Now I'd like to shift gears and tell you more about the exciting work we're doing in the U.S. market. As we have been operating in the U.S. for now close to a decade, we took a fresh look at our strategy this year, starting with an in-depth review of our past performance and of the gaps and opportunities that exist in the U.S. market. While we have leveraged our core strengths over the past 10 years to consistently deliver strong EBITDA and strong cash flow performances, our top line has been below our expectations. In the U.S., we're facing a shrinking beer industry, as beer loses share to wine and spirits. Major consumer trends, such as premiumization, health and wellness, along with demographic changes in the population, are causing a segment mix shift within beer. While our Above Premium brands are accelerating growth and gaining share at a rapid pace, our portfolio in the U.S. is still heavily weighted to segments in the industry that are under pressure. As a result, despite delivering a positive share of segment performance, we have not yet been able to fully offset the negative impact of the segment mix shift resulting in an overall loss of market share. As a first step in our path to reverse these trends, we mapped our brands using the category expansion framework. This allowed us to understand where we are well positioned with our uniquely strong brand portfolio, while also identifying key white spaces and opportunities for growth. As a result, we refreshed our commercial strategy this year, which is built upon 5 strategic pillars. First, we need to continue to build winning brands that have a relevant, unique and differentiated position, create authentic connections and inspire long-term loyalty with consumers. Second, we must lead the trade-up, offering consumers a portfolio of high-end choices that are aligned to the world premiumization trend in the industry. Third, we must stabilize the share segment performance of our mainstream brands, such as Budweiser and Bud Light, as mainstream lagers 'are the entry point for the beer category, and as such play a meaningful role in delivering our strategy. Fourth, the non-beer segment represents a significant opportunity for growth, requiring us a sustainable robust innovation pipeline that anticipates and fulfills evolving and fast-changing consumer preferences. And last, but surely not least, we must lead category growth with unique and winning propositions that bring consumers back to the beer category. The success of our strategy relies in knowing our consumer and taking a more local approach to our commercial execution. We're leveraging data analytics to drive meaningful consumer insights to stay ahead of the curve. We also plan these analytics at a more local level, given the complexity of the U.S., while giving our regional teams the autonomy to leverage market-specific knowledge to ensure maximum effectiveness of our strategy. We have started to execute against this strategy in 2018 and are already seeing early signs of success. With our mainstream brands, Budweiser and Bud Light, we've delivered successful commercial initiatives, such as our hyper-local and cell activations in divisions Cleveland and Philadelphia. We've generated over 2 billion earned media impressions combined. In the third quarter '18, both Budweiser and Bud Light grew penetration. And while we recognize we still have work to do in the space, we believe we're moving in the right direction. Michelob Ultra continues to shine, now the fifth largest brand in the U.S., and consistently growing double digits, as it capitalizes on growing health and wellness trends. However, the brand's still under-indexed in major beer states, such as California and New York, representing a significant opportunity for additional growth. We'll continue to support this brand to maximize its tremendous potential. 2018 has been a year for innovation in the U.S. with 3 very successful launches: Bud Light Orange, brewed with real orange peels; Michelob Ultra Pure Gold, brewed with organic grains; and the limited-edition Budweiser Reserve series. These innovations are driving incremental growth to our portfolio, with all 3 making it to the top 15 share gainers in the U.S. year-to-date and incremental growth to the category as we respond to evolving consumer needs. Overall, while we're seeing encouraging signs, we acknowledge there is still work to be done. But we believe we have the right strategy, the right portfolio and, more importantly, the right people in place to achieve our goal of sustainable top line growth in the U.S. I'd now like to hand it over to Felipe, who will take you through more details on our financial results for the quarter. Felipe?
Felipe Dutra: Thank you, Brito. Good morning, good afternoon, everyone. In the third quarter, we delivered just under $230 million of synergies, bringing the total synergies captured to date to more than $2.7 billion. Our total synergy guidance remains at $3.2 billion to be delivered within the 4-year period following the close of the combination. As a reminder, these synergies do not include any top line or working capital synergies. We continue to expect the synergy capture to require approximately $1 billion of one-off cash costs to be incurred in the first 3 years after closing, and of which $778 million has been spent to date. Net finance costs in the quarter were $1.787 billion compared to $1.135 billion in the third quarter of last year. The increase was due entirely to a negative swing of $856 million from mark-to-market losses linked to the hedging of our share-based payment programs, which were $616 million in the quarter, compared to a gain of $240 million in the third quarter of last year. We saw year-over-year savings in our other components of the net finance costs. Our normalized effective tax rate for the third quarter was 25.3%, up from 16.7% in the third quarter of 2017 and bringing our year-to-date tax rate to 26%. Excluding the impact of the gains and losses related to the hedging from our share-based payment programs, our effective tax rate this quarter was 20.3%, bringing our year-to-date tax rate to 23.5%. Our effective tax rate guidance for the full year 2018 remains in the range of 24% to 26%. This excludes the impact of any future gains and losses related to the hedging of our share-based payment programs. Moving on now to earnings per share. Our underlying EPS this quarter, defined as our normalized EPS, excluding the impact of mark-to-market relating to our share-based payment programs and hyperinflation adjustment in Argentina, decreased this quarter by $0.03 from $1.19 to $1.16. The decrease was driven by lower EBIT and higher income tax, partially offset by lower net finance costs and income from associates and non-controlling interests. Our capital allocation priorities remain unchanged. Our optimal capital expenditures remains a net debt-to-EBITDA ratio of around 2x. The first priority for the use of cash is to invest behind our brands and to take full advantage of the organic growth opportunities in our business. Second, deleveraging to around 2x net debt-to-EBITDA ratio remains our commitment, and we will prioritize that strict payment in order to meet this objective. Third, with respect to M&A, we will always be ready to look at opportunities when and if they arise, subject to our strict financial discipline and deleveraging commitments. Our fourth priority is returning excess cash to shareholders in the form of dividend and share buybacks. Consistent with these long-standing capital allocation priorities, and in light of recent currency volatility, we are rebasing our dividend payout to accelerate deleveraging towards our optimal capital structure of around 2x, while continuing to prioritize investment in organic growth opportunities and creating greater financial flexibility. The board has approved an interim dividend of EUR 0.80 per share for the fiscal year 2018 and intends to propose a final dividend of EUR 1 per share for the fiscal year 2018 to be paid in May 2019, subject to the approval at the Annual Shareholders' Meeting, which would result in a total dividend payment for the fiscal year 2018 of EUR 1.80 per share. Following this rebase of 50%, we expect dividends to be a growing flow over time in line with the noncyclical nature of our business. However, growth in the short term is expected to be modest, given the importance of deleveraging. The rebates of the dividend will release roughly $4 billion of additional cash per year to accelerate deleveraging, which is expected to maximize our total enterprise value as a result of lower cost of capital. Approximately 90% of the capital structure optimization value is expected to be captured in the early stages of deleveraging to around 3x net debt-to-EBITDA, benefiting both debt and equity holders. And with that, I will hand back to Christie to begin the Q&A session.
Operator: [Operator Instructions]. Our first question is coming from Olivier Nicolai of Morgan Stanley.
Jean-Olivier Nicolai: Just one question and one follow-up. First of all, you mentioned an acceleration in growth for the rest of the year. Will it come from the underlying improvement of your business? So should we see better volumes growth? Or are you expecting more cost savings in Q4? And just on Brazil and South Africa, if you could go back to these 2 markets, could you add more details on the market share dynamic in the Premium segment in both -- 2 markets? Are your share gains actually coming from distribution gain? Or is it just like-for-like?
Carlos Brito: Which markets, Olivier?
Jean-Olivier Nicolai: Brazil and South Africa.
Carlos Brito: Brazil and South Africa. So in terms of your first question about acceleration of results, we are keeping the outlook when we said that results should accelerate through the second half. So we're keeping that. And what you should keep in mind is that one thing -- or a couple of things in this quarter that should be different for the next quarter is one in South Africa, where we had issues with out of stocks. That's a clear one-off issue. That's now behind us. And the second issue is the price increase in Brazil, which is also something that, every time we do, takes two months or so for the market to stabilize and find its balance. And the third one would be the U.S., where sales to wholesalers and sales to retailers will continue to catch up for the fourth quarter as well. So those are some of the things that will give you a little bit of a flavor of why we kept the outlook for the second half and showed an acceleration of results. In terms of market share for South Africa and Brazil, your question was more on the high end or...
Jean-Olivier Nicolai: Yes. Yes, it was. Yes.
Carlos Brito: Okay. So in South Africa, we're growing share in the high end, the same case in Brazil. In South Africa, you have to remember that less than 2 years ago, like 18 months ago, we started from 2% or 3% share in that segment. Now we are at 24% and growing very fast therefore. And Budweiser is doing very well, and the same with Corona. In Brazil, the same thing. And then we continue to grow in that segment. It's a segment that today represents 10% of the market. And both -- our 3 brands -- not both, but our 3 brands, Corona, Stella and Budweiser, are doing very well, growing -- all 3 more than 40% and Corona growing even 75%. So again, in both markets, the high end is less affected by any macro pressure, and we're growing -- as the segment's growing as well, we're growing within segment.
Operator: Your next question is from Edward Mundy of Jefferies.
Edward Mundy: Two questions, please. The first is, are you able to provide any more color on the outlook to input costs into fiscal '19, given they crept up a little bit in Q3? And then the second, Felipe, is about your final bullet on Slide 24, that 90% of the capital structure optimization value will be captured in the early stages of deleveraging. Does that imply that your plan is to broadly keep the dividend flattish until about 3x? And then after that, you're going to look to grow that? Or maybe I read too much into that?
Carlos Brito: Well, let me get the first one. In terms of cost of sales, our outlook for this year has been that our cost of sales would be -- our total cost, as I was saying, would be below inflation. Total cost .The cost of sales, plus SG&A, that remains intact. But given the time -- also in terms of cost of sales, given the time of our hedges, the increase in cost of sales per hectoliter is more -- this year is more concentrated in the half 2, in the second half. On a fiscal year basis, I said before, both cost of sales, plus SG&A will continue to perform below inflation. And in regards to Q4, in particular, we expected a strong SG&A performance to offset some of the cost of sales pressure, hectoliter pressure that we'll see in the fourth quarter. So that would be for the fiscal year 2018. And in terms of 2019, I think that was also part of your question. Our growth algorithm remains the same, right. So net revenue, we wanted to -- net revenue per hectoliter benefited from mix to continue to grow at inflation or above inflation because of mix. And costs, in general, cost of sales plus SG&A below inflation. That has been our long-term value creation model in terms of our P&L and the way it works.
Felipe Dutra: Ed, Felipe here addressing your second question. I think the point on the capital structure decision is very much the fact that at optimal capital -- at optimal leverage levels is very much where we maximize the enterprise value. And there is a lot of value to be created as a result of the deleveraging. As we gravitated towards that goal, the decision to rebase the dividend in light of the recent currency volatility is very much targeting to proactively be ahead of the curve and accelerate deleveraging towards that goal, which ultimately will benefit both debt and equity holders.
Operator: Your next question is from Robert Ottenstein of Evercore ISI.
Robert Ottenstein: Two questions. One, Felipe, perhaps you can kind of just give us a little bit of thought in terms of why a 50% cut was the right amount, and why not do more and try to get there faster, and kind of the various constraints and the thinking around that. So that's one question. And then, Brito, perhaps you can talk a little bit about, from a very high level and an organizational level, how you're thinking about accelerating the top line. In 2014, there seemed to be a little bit of shift in the narrative that you would focus more on top line growth. That -- obviously, there's been a transaction in between. But year-to-date, at least this year, at least on the volume side, that hasn't really quite come through. So maybe if you could talk, Brito, a little bit in terms of balancing volume versus revenue per hectoliter. And if volume isn't getting where you need it to be from a structural perspective, do you need to push harder into non-alcohol? Do you need to change compensation systems? You did a reorganizational change earlier this year. Are there structural things that you need to do? Or do you think you have things kind of where they need to be, and it's just a question of time to play it out?
Felipe Dutra: Robert, let me take the first one there. There are several elements that we have to take into account while making capital structure decisions. One of them is related to the debt maturity profile. In light of that, if we take what is maturing towards the end of 2018, plus 2019, plus 2020, you have combined about $11 billion while we were sitting, as of June this year, on broadly $17 billion of liquidity. From the liquidity standpoint, there is no pressure whatsoever. When you take into account the debt maturity profile that is very much extended in a 12-year duration with no concentration in any given year, that's, again, from the liquidity standpoint, no big issue right there. The other element is connected to interest rates. 93% of this is fixed. We took the decision to pre-fund for the SAB transaction in early 2016, [taking into consideration] [ph] the favorable rates and that is locked. So if interest rates rise, we will also not put pressure on that. Of course, when we look into the quantum, yes, the quantum is to be addressed, but is being managed responsibly and, let's say, ultimately, on a conservative basis, right. So you asked me what's the speed of deleveraging, we have to take into account the balance of our variables. We reached the conclusion that $4 billion is a big number towards that goal. It provides a kind of equal balance or similar balance, I think is a better expression, between cash available for debt paydown and dividend and/or buybacks, and is occasional cost. Some people probably thought, Well, maybe a dividend holiday, I think, would be too extreme in that scenario. No cuts giving no liquidity constraint. Also, it's a different scenario. But anyway, we feel the one we are taking is the right one, is the one that should unlock value for both debt and equity holders in the long term. And we feel very much comfortable to pursue that route.
Robert Ottenstein: Thank you. Very clear.
Carlos Brito: Yes. Robert, in terms of top line, I mean, you followed us for a long time. You know that we're all about profitable top line growth. And we also have most of our business or 2/3 of our business in high-growth markets or emerging markets. And those tend to have volatility from time to time. So I wouldn't read too much into this third quarter top line. Let's remember, we had a bad quarter for Brazil, volume-wise, negative one South Africa and Argentina, which are 3 important markets in Brazil. Let's also remember that Brazil comes from 3 years of tough macros and elections and political things. I mean, let's also remember that there was a transaction from '14 to now. So having said that, do I believe that we have the strategy? Yes. Is the strategy now better than 2014? Yes, because of everything we learned like intellectual synergies. I think we have an amazing footprint, an amazing group of people, equipped with a great portfolio of brands. Look at our global brands, where they were in '14. That's one of the reasons why we've put more money behind our global brands then and looked at what we've built and continue to build in the high-end company. So I think all this points to a very profitable future, in our view. But of course, being in emerging markets, sometimes, you have bumps. This quarter, the bump in Brazil was more because of the price increase. As you know, every time you increase prices, you have time to adjust for the market to find its new equilibrium. South Africa, this quarter specifically -- yes, you have the economy. But this quarter specifically, what was mostly negative for us was the out of stocks, getting some supply constraints we had. And in Argentina, we have the whole market situation. That's well known. So those are 3 countries, of course, that are important. On the other hand, if you look at the other countries of ours, we had some great results in Mexico, in other African markets, Western Europe, China, Korea, some in -- lots of Colombia. Some in -- lots of our markets are doing very well, global brands doing very well. But the 3 markets, of course, made a difference this quarter.
Robert Ottenstein: So what I'm hearing is you believe that you have the right strategy, the right footprint, the right kind of brand balance, and you don't need to kind of change the compensation structure to preference top line? You don't need to necessarily go heavier into non-alcoholic areas, but kind of stay -- you're kind of -- you're happy with the general thrust of the organization at this point?
Carlos Brito: I am recognizing that there is volatility. Our incentive system's very well balanced between top and bottom line. It's also very well balanced between long term and short term because, again, we're here for the long term. And again, it's about profitable top line growth. For example, in Brazil, the value segment's growing, give their consumers are under pressure. But we took an approach of a smart value proposition, learning from our colleagues -- our new colleagues. And we did the cassava beer that we think has amazing potential to grow in the Northeast part of Brazil, which are less mature regions of Brazil. So those are brands that sell like in some countries in Africa, a very good attractive price point, but with margins that are very, very good. Given tax arrangements, some of that with the governments to develop local farmers. So those are kind of things that we try to do because, again, we're interested in profitable top line growth.
Operator: Your next question is from Sanjeet Aujla of Credit Suisse.
Sanjeet Aujla: Brito, can you just talk a little bit about the deceleration we saw in the period in Mexico, and perhaps characterize the competitive dynamics you've seen in that particular market? And then my second question is just really around innovation across the group. Can you just give us a feel for how much innovation representative of sales today and where you expect that to be over the next 2 to 3 years?
Carlos Brito: Well, in terms of Mexico, I mean, Mexico has been good news for the past -- since 2013. So five years. I mean always high single digits revenue growth or double digits revenue growth, margin expansion, EBITDA growth. So I mean, it's all about -- our brands are doing very well. What happened this quarter, and I think you answered the question, is that we had some competitive dynamics that were a bit more promotional in nature. We saw no reason to follow that. So -- but again, that's one quarter. If you look at the last five years, we've had an amazing ride. The market has been very good. The industry has been developing well. Beer is gaining share. We're thrilled. And we've been gaining share, and our brands are doing very well. So we continue to grow in Premium double digits, which is something that still has -- give it all to Mexico big time. And we're leading back with brands like Michelob Ultra and our global brands. So in terms of innovation, if you look at the U.S. market, I mean, we've had this quarter a couple of innovations that are doing very well. We had Bud Light Orange. We had Michelob Ultra Pure Gold, and we had Budweiser association with Jim Beam. All three are within top 15 share gainers this year in the U.S. market. So those are very success innovations. We have core plus tight price positions. So we are margin-accretive. We also help a lot the model brand, Bud Light and Budweiser. And again, Michelob as a family for the 14th quarter being the #1 share gainer in the U.S. market overall, and being to date the #5 brand in the U.S. So -- but again, growing from a very strong base and, again, 10% -- already 10% of our business in the U.S. The other thing to call attention is that with our details that I just mentioned about the U.S. and our refresh strategy, one of them, if you remember, was the being -- giving more autonomy to regions. And one of the things that, that has enabled is that we'd be testing way more innovations at a regional level as pilots before we decide whether to grow and scale them up or not on a national region across regional basis. So that has been very good. If you look at Bud Light Orange, Pure Gold and Budweiser Jim Beam all came from that kind of modus operandi, and are doing very well. So that's a way to test and learn fast. And that put your money on things that are proven before you do just a bet on something that is just based on market research -- traditional market research. So that's the innovation -- state of the innovation in our company.
Sanjeet Aujla: Just to follow up on the innovation point there, Brito. Clearly, the emerging markets are clearly tough at the moment. Is there a sense that you need to step up innovation across most of your emerging market to kind of grow yourself out of the emerging market headwinds? And should we start to see that for next year?
Carlos Brito: Well, emerging markets because we are 2/3 emerging markets, and emerging markets should be understood as high-growth markets, right? Yes, volatile but high-growth markets. So we never stopped innovating. Look at Brazil, for example. Even in 2016, when we had a very tough year, we did a lot of package innovation in Brazil. We invested a lot in more sizes of returnable packaging, and that has proven to be a wise decision when a lot of other players were not investing because of the tough years and the tough macros. And because we're there for the long term, we look more at the fundamentals as opposed to news that we read in the paper. And those are building good business for us in Brazil. If you look at Nossa, because some of the beer Brazil is already -- again, innovation could tackle and could take advantage of selling the value segment that's growing in Brazil because of the current consumer situation. But we decided to tackle in a thoughtful way because, again, we're interested in profitable top line growth. And cassava gives us this alternative of adding a very good attractive price point for consumers, but also having a very interesting margin compared to our average margin. We're also doing affordable pack sizes, less than 1 liter in South Africa, with 340 ml returnable bottle in Argentina and Paraguay. So we are always looking for being there with our consumers. And if they are having a tough year, we're there with them by offering them better value for their money, so they can continue to buy the brands they prefer.
Operator: Your next question is from Trevor Stirling of Bernstein.
Trevor Stirling: Brito, just one question from my side, but a fairly broad one. If I look at the quarter, Brito, there's some great EBITDA margin expansion stories because of Mexico and Colombia. But if I look at the group level and I take out the synergies, there would have been margin -- EBIT margin contraction. And we did see contraction. We've seen 3 quarters of EBIT contraction -- margin contraction in the United States. What gives you the confidence, Brito, you're getting enough pricing to offset the cost inflation, so the model is going to continue working?
Carlos Brito: Yes. Typical contraction, Trevor, you saw was mainly due to a couple of countries. So let's remember, there's a little bit of commodity that's pressuring our cost of sales. That was clear in the numbers. In the U.S., for example, we had positive top line growth, but then that was not enough to offset the commodity pressure. There's also some logistics that was there, not as much as in the summer, but there is also some logistics cost there. South Africa also because of the way the mix of brands in the out-of-stock worked. The mix went against our margins in South Africa. So if you take those 2, that already explains a lot of that. But again, margin is something that we'll continue to see lots of opportunities because of premiumization, because of just being more efficient in general, and because with our price and because of the strength of our brands. So -- and when you look at global brands and the opportunities it continues to offer, we continue to be very optimistic about margin expansion. But this quarter, we had those pressures in the U.S. and South Africa for the 2 reasons that, of course, affected the overall number.
Operator: Your next question is from Carlos Laboy of HSBC.
Carlos Laboy: Brito, you've done a really good job here in Colombia with Aguila. Can you expand for us on the brand work that's been done with Aguila in Colombia? And related to that, have you identified an opportunity for more important mainstream brand identity or brand liquid resets in big markets?
Carlos Brito: Well, in Colombia, you're right. I mean, we're very excited that with the category expansion framework, we're able to more precisely define the positioning of Poker and Aguila, which are really important brands for us. And both are doing very well. On top of that, in Colombia, we've been expanding big time our global brands. And the results in Colombia are amazing. I mean, everywhere you look, from margin expansion to top line, everything this year has been amazing, and a lot of that given not only our people there, but also the category expansion framework. When you look at this framework, we've done more in other countries. Argentina is also a good example. In Argentina, we have Brahma and Quilmes Cristal a bit on top of each other. We've clearly separated that Brahma going more to be drinking, Quilmes coming back for the classic lager. And even in the tough year we have in Argentina, especially after April, both brands are in growth mode. So both brands are continuing to expand its volume. In Brazil, we're doing the same. We're using that to Brahma and Skol with Skol Hops, for example. That's a good example of how to continue to position Skol in that -- in the drinking territory with Brahma with Brahma Extra and the pure malt play. Again, an example of how to position even better the classic lager with beer cues and the whole heritage about Brahma. So these are just some examples. We have more examples in Mexico as well in that between Victoria and Corona. We're doing a similar job of separating them. They were a bit on top of each other. So separating those brands between easy-drinking and more of a classic lager. So just I don't know if that answers your question, but they're just some examples of -- and in Brazil with Nossa, another example of our affordability, but in a smart way with good margins. So just some examples of how we use the category expansion framework in some of our key markets.
Operator: Your next question is from Brett Cooper of Consumer Edge Research.
Brett Cooper: Two questions from my side, if you will. First, as you go around the world and you're looking at your major markets, can you just talk about how the beer category is doing relative to broader alcohol, so that when things do recover, just the structural growth come back? And then specifically within the U.S., can you talk about your ability or your willingness to move to alter the portfolio much faster like you've shown or you've done in the U.K. and Australia in light of the fact of the U.S. being a significantly larger portion of your profits and cash flows?
Carlos Brito: In terms of the U.S., Brett, I think you answered the question. I mean, what we see in Western Europe and Australia is exactly what we pursue in the U.S. Of course, different markets, different facings and different speeds. But in the U.S., that's exactly right. I mean, we are investing more in those brands that are connected to segments and trends, where the growth margins are migrating to towards and trying to manage the other brands that are more under pressure. So we still have a portfolio that's more of a winning portfolio when you project 3, five years. So that's exactly the view we took in Australia some years ago and in Western Europe some years ago working very well. And in the U.S., as I said before, there's the refresh strategy that we've put even more gas behind it this year. And that's where we're headed. In terms of beer share of throat, as also said this -- in my speech just some minutes ago, in the U.S., beer remains under pressure in terms of share of throat. But if you go to Mexico share of throat's growing. If you go to Colombia share of throat's growing. If you go to Ecuador, same; Argentina, same thing. So I think there are many markets that are important markets for us where share of throat is developing well. The U.S. is the one that we still have more to do.
Operator: Your next question is Simon Hales of Citi.
Simon Hales: A couple, please. Felipe, you highlighted how you've had another good quarter of synergy capture from SAB. So there was an intellectual acceleration, I think, in Q3 versus Q2 in terms of the absolute delivery. Can you say anything around perhaps the further improvements we're seeing in cash flow conversion as we're moving through the second half of the year? And then, Brito, you're clearly confident about the pickup we should see midterm in revenue growth. But in broad terms, as we stand today and as we look forward to 2019, do you think we're in a position to see firmer growth in 2019 for revenues than we have in 2018?
Felipe Dutra: So on the working capital side, we continue to progress in terms of efficiencies on the former ABI territory as well as catching up really fast on the former SAB territories. Yes, core working capital will continue to be a big contributor for cash flow generation. Specifically in regards to 2018, we flagged the fact that not only historically our cash flow generation is far more concentrated in the second half of the year, but giving some one-off payments that took place in the first half of 2018 as compared to some one-off cash collections that also took place in the first half of 2017. That is going to cost the cash flow generation to be much stronger in the second half of this year as compared to historical levels.
Carlos Brito: And then on your question, Simon, about net revenue per hectoliter, if I understood correctly, what I said was that our organic growth algorithm is the one that stays the same. And that is that our net revenue per hectoliter should grow at or above inflation, given the mix shift that we're seeing upward, more towards Premium brands. And our overall cost, cost of sales and SG&A should continue to be below inflation going forward. So that's what I meant or said when I mentioned the net revenue backlog.
Operator: Your final question comes from Andrea Pistacchi of Deutsche Bank.
Andrea Pistacchi: I have two, please. The first one on Brazil, if you could just talk a bit of the -- a bit about the competitive dynamics there. You took pricing same time as last year. I believe competition, or at least Heineken, has followed with a bit of a lag. Is -- therefore is pricing there, would you say it's more rational than it was a couple of years ago? So no change there? And then on -- if you could talk a little bit about Argentina. How do you feel about Argentina over the medium term? Clearly a difficult macro situation. You were delivering very strong volume growth also with the work you were doing on the category framework. But if I look back at 2013, '14 when Argentina was in recession, the volume declines back then were only sort of low single digit. Yet this quarter was a rather sharp decline. So how do you think about Argentina medium term?
Carlos Brito: Well, in Argentina, Andrea, what you need to think is that because inflation has been picking up throughout the year, that increased our price increases to kind of keep track of that or keep following that inflation. And that has impacted -- of course, given where consumers are and the macro situation, that has impacted the industry volumes in a big way. But if the government does what they're saying, they should do an inflation, change that a little bit, that we'll get back to the years we referred when inflation was lower. So we continue to be very optimistic about Argentina in the midterm. If you look at the year-to-date Argentina volume, it's growing year-to-date. Not last quarter, but year-to-date is growth -- is a growth volume. So don't take this last quarter because there was a lot of pricing happening there because of the inflation expectation that's continued to go up in the last few months. In Brazil, it's all the same story. You increase prices. The market takes two months, a couple of months to reset. It's no different this time around. And what's happening in Brazil more than that is a little bit of mix. I mean, the high end continues to grow, and we're benefiting from the core -- the value is growing a bit more than before, than in the past. There we don't have big prices, as we have in the other segments. But now with Nossa and others that will come, we'll start having more presence there the right way, the possible way. Because, today, this segment in Brazil could -- in our calculation, creates no margins for the ones that will play heavily in these segments. So it's not the kind of segment that appeals to us, unless we have cassava back to our position, where margins then are very decent, right? Otherwise, it's -- have no interest to us. And we continue to deck with the country after the elections. And everything could be in a better place, and then the core segment will be revitalized again. And there we have a very strong set of new news, investments and brands that will benefit from it.
Carlos Brito: Yes. So well, thank you, everybody, for your time. Thank you, Christie, for managing all the Q&A. In summary, many of our markets delivered strong performance this quarter, though our results were impacted by weakness in some of our relevant markets. We have a long history of operating successfully in emerging markets and understand that they are volatile by nature. However, as always, we take a long-term view of our business and realizing this whether such volatility to pursue the growth opportunity that are also inherent to the same markets. We remain confident that we'll continue to accelerate our EBITDA growth rate in the balance of the year. Thank you very much, and enjoy the rest of your day. Thank you.
Operator: Thank you. This does conclude today's earnings conference call and webcast. Please disconnect your lines at this time, and have a wonderful day.